Operator: Good day, and welcome to BT's trading statement for the first quarter ended the 30th of June 2021. My name is Shandor Mogdus, and I'm your host today. [Operator Instructions] I would like to advise all parties this conference is being recorded for replay purposes. And now I would like to hand over to Mark Lidiard. Please go ahead. 
Mark Lidiard: Thanks, Shandor, and welcome, everyone. As just said, my name is Mark Lidiard from the BT Investor Relations team. And presenting on today's call, we have Philip Jansen, Chief Executive of BT. And he'll be joined for Q&A by Simon Lowth, Chief Financial Officer.  
 Before we start, I'd just like to draw your attention to the usual forward-looking statements on Slide 2 and our latest annual report for examples of the factors that could cause actual results to differ from any forward-looking statements we may make. Both the slide and the annual report can be found on our website.  
 And with that, I'll now hand over to Philip. 
Philip Jansen: Thanks, Mark. Good morning, everyone, and thanks for joining today's call. As usual for our first quarter results presentation, I'll make some prepared comments before Simon and I take your questions. I'll talk through the highlights of the quarter, our business unit results and a little update on our progress against our strategy.  
 Moving to the highlights on Slide 4. The business is performing well. And overall, we delivered results in line with our expectations. Revenue of GBP 5.1 billion was down 3%. Increased revenue in Consumer, including a higher BT Sport and handset sales, and in Openreach, with growing numbers of end customers taking fiber and Ethernet, was more than offset by ongoing legacy product declines in Enterprise, prior year divestments and more challenging-than-expected market conditions impacting our Global unit. 
 EBITDA of GBP 1.9 billion was up 3%, driven by growth in Consumer, Enterprise and Openreach. We delivered strong cost control across the group, which more than offset the revenue decline in Enterprise but only partly offset the weaker market conditions in Global. Reported profit after tax was just GBP 2 million. This was due to a one-off noncash tax change to reflect the remeasurement of deferred tax balances following the increase in the corporation tax rate to 25% from April 2023. This resulted in a GBP 439 million increase in the tax charge for this quarter.  
 Reported CapEx, excluding Spectrum, was GBP 1 billion, up 9%, driven by continued higher spend on our industry-leading full fiber and mobile networks as well as the nonnetwork infrastructure. Normalized free cash flow was an outflow of GBP 43 million, reflecting the usual first quarter pressure on working capital, CapEx creditors and the payment of the annual bonus. This is slightly ahead of quarter 1 last year as higher EBITDA and the expected lower cash tax were partly offset by higher cash CapEx. As I highlighted at our quarter 4 presentation, we expect our full year cash flow of between GBP 1.1 billion and GBP 1.3 billion to be heavily weighted towards the second half of the year, in line with last year.  
 Earlier today, we announced the strengthening of our strategic partnership with Microsoft to accelerate innovation across a range of products and services, including enterprise voice and cybersecurity. We expect this partnership to underpin over GBP 1 billion of revenue across our Enterprise units over the next 7 years as we capitalize on our superior networks and security credentials supporting our overall revenue growth.  
 During the quarter, we started to see a COVID-19 bounce-back in the U.K. And while some uncertainty remains around the near-term impact of the withdrawal of the government support schemes, the overall picture is one which is largely in line with our expectations. Beyond the U.K., we are seeing variable rates of recovery, which are creating challenging conditions in many of Global's markets. Strong operational delivery across most of the business, coupled with a more favorable economic environment, leaves us firmly on track to deliver our outlook for this year and beyond, including an inflection in revenue before the end of this financial year.  
 Turning to Slide 5 and our operating performance. Overall, the trends impacting our business units remain largely unchanged in the quarter. Consumer revenue was up 1%, driven by higher BT Sport revenue and direct mobile handset sales as lockdowns eased. Sales were supported by the industry-leading service we provide through our recently reopened retail estate, although both footfall and sales remain lower than pre-pandemic levels. We continue to see lower fixed and mobile service revenue, driven by changes to improve fairness for customers, a greater proportion of direct handset sales and the ongoing trend towards SIM-only in the mobile market. EBITDA increased as a result of higher revenue and marginally lower operating costs, driven by reduced indirect commissions and tight cost management. Lower costs were partly offset by the sports rights rebates we received in quarter 1 last year, although the substantial majority of these rebates benefited the second quarter. 
 Consumer is well positioned for growth as churn remains low and with further year-on-year increases in the BT and EE Net Promoter Scores. In June, we launched BT Home Essentials, which widened the reach of our social tariff to 4.6 million low-income families across the U.K. And as we strive to ensure decent broadband connectivity reaches every last corner of the country, we have signed a memorandum of understanding with OneWeb to explore satellite broadband provision for the hardest-to-reach parts of the U.K.  
 Moving to Enterprise. The smaller business end of the market held firm with flat revenue from SMEs, which is an improved performance versus last year. Nonetheless, a slower recovery amongst larger corporates, coupled with declines in our wholesale division, impacted revenue. EBITDA increased year-on-year, as the reduction in revenue was more than offset by lower costs, including savings delivered through our transformation programs and our one-off asset disposal within our wholesale division. 
 In June, we implemented a new operator model within Enterprise with a sharper segment and commercial focus. This includes the creation of a new business unit dedicated to serving the millions of small office, home office firms in the U.K. that are either small by design or just starting up. At the same time, we launched the country's first Unbreakable Wi-Fi for these businesses, delivering guaranteed workplace coverage, full fiber speeds of almost a gigabit per second and free tech expert support to capitalize on the high growth potential of this market and to help these firm's kickstart the U.K.'s economic recovery. This follows our best-ever NPS results for our BT and EE brands as voted by SMEs.   
 As I said earlier, Global was impacted by more challenging conditions than we expected due to COVID-19. Customer business activity has reduced, resulting in delayed project-based spend and equipment sales, for example, for office-based connectivity. The impact among multinational customers is particularly pronounced as they are entering different phases of the pandemic across the globe. This contrasts with the prior year, when we saw some short-term positive impacts from COVID-19, including high-margin conferencing minutes as customers went into lockdown for the first time. In addition, revenue this quarter reflected the impact of prior year non-core divestments and a negative foreign exchange movement. Excluding these, revenue was still down 12%. EBITDA for the quarter reflected the lower revenue, partly offset by lower operating costs from ongoing transformation and rigorous cost control. Excluding divestments, one-offs and foreign exchange, EBITDA was down 19%. 
 Looking ahead, we remain confident in Global's strategy and plan and anticipate that markets will show some recovery in the second half of this financial year. Over the last 3 years, Global's asset-light strategy has reduced risk and increased focus on its core capabilities, driving NPS results up almost 40 points to an all-time high this quarter. And we have held market share even in these very difficult economic conditions. We will maintain a tight grip on the costs to mitigate the impact of lower revenue, albeit we do plan to hold some costs in expectation of the market recovery.  
 We will continue to drive uptake of our future-proof growth product portfolio, which in the quarter represented just over half of total orders won compared with 1/3 in the prior year. In June, we completed the sale of business units serving customers in the public administration and SME sector in Italy. And earlier this month, we made a strategic investment in Safe Security, a leader in cyber risk quantification. Safe Security provides services which enable organizations to measure their susceptibility to various forms of cyber-attack. And our investment reflects our increasing focus on security as a key growth area for BT.  
 In Openreach, revenue growth was driven by higher rental bases in fiber-enabled products and Ethernet and increased provisioning activity when compared to that during lockdowns during -- due to COVID-19 in the first quarter last year. EBITDA growth reflects the increase in revenue, partly offset by higher repair and provisioning costs and investment in people to deliver ever-improving customer service and network build. During the quarter, our colleagues in Openreach worked hard to clear the backlog of full fiber provisioning orders, which accumulated during the last lockdown. And the work stack is now back at more normal levels.  
 We continue to drive volumes off copper and onto our full fiber network using both commercial deals, which I'll talk to on the next slide, and exchange-based stop sales. As of last month, Openreach's customers can no longer sign up to buy legacy services in 14 exchange areas. And by April next year, this will have expanded to almost 300 exchange areas, covering around 3 million premises. So in summary, despite some ongoing impact from the pandemic, we continue to deliver against our expectations. And BT is emerging as a more resilient and competitive organization.  
 Moving on to Slide 6. In May, I outlined our plans for a future that is about consistent and predictable growth with prospects. Our path to growth is underpinned by our ability to deliver against our targets today while also investing for tomorrow. This will generate sustainable EBITDA growth from this year and consistent and predictable revenue growth from next year, firmly underpinning the reintroduction of our progressive dividend. And then post 2026, after the peak network build, reducing CapEx will deliver an uplift of more than GBP 1 billion per annum to normalized free cash flow.  
 Looking at our full fiber rollout. We continue to mobilize our workforce towards building to 4 million premises per annum as quickly as possible. During this quarter, or the last quarter, we passed 555,000 premises with the highest quality, the lowest cost FTTP in the U.K. And we increased our commercial rural build target to 6.2 million premises as part of our plan to reach 25 million premises by December 2026. More than 1 million homes and businesses are now connected to Openreach's ultrafast, ultra-reliable, full fiber broadband network, including an increasing proportion from external communication providers. Appetite for faster connections is accelerating. And during the quarter, over 50% of FTTP orders were for ultrafast speeds.  
 In July, we published a new FTTP offer, providing long-term competitive wholesale pricing certainty in return for rapid adoption of FTTP, where it's available. This compelling offer is designed to reinforce Openreach's long-term relationships with its major customers, enabling even faster take-up in the future whilst also providing a fair return on our investment. In parallel, we continued to investigate whether we can deliver even more value to shareholders by funding our build to 5 million of the 25 million premises through a joint venture between BT and one or more external parties. We'll update you on progress at our first half results.  
 Moving to Mobile. Our class-leading network was this month ranked as the U.K.'s #1 for the eighth year running by RootMetrics. We recently announced plans to drive 4G connectivity deeper into rural areas with over 4,500 square miles of new coverage by 2025. In parallel, we will grow our 5G network to cover half of the U.K. population by early 2023, 4 years ahead of the U.K. government's ambition. By 2028, the geographic reach of our 5G network will pass that of 4G to become the U.K.'s largest digital network, providing signal to over 90% of the U.K. land mass. To enable this, new 700 megahertz 5G spectrum will be deployed across the majority of our mobile sites, offering stronger indoor and wider rural coverage. 
 We'll launch a new 5G core network control system by 2023, built upon BT's distributed network cloud infrastructure, bringing together all of our digital networks. All of this will be delivered within our previously announced CapEx plans of up to GBP 5 billion a year at the peak. In the near term, we're already seeing the benefits from the success of our converged products with over 47% of Consumer's BT broadband base on Halo. And with the recent launch of new converged products by our Enterprise division, we're ensuring we leverage our industry-leading networks across all of our markets. In the long term, our plans will deliver a unique smart network infrastructure. This will be a platform for revolutionary new services for customers as well as converged technology opportunities for businesses, ensuring we maintain our network leadership and deliver fair returns on our investments. 
 As we implement our plans toward a better BT for the future, how we get there is every bit as important as meeting our targets. We're a leader in the responsible use of technology. And in May, we launched our Hope United campaign, using the power of football to tackle online hate. Diversity and inclusion are also central to our vision for the future. And during the quarter, we published our first diversity and inclusion report, setting out our D&I strategy and our workforce and leadership targets. In addition, earlier this month, we reached a partnership agreement with our largest union, the CWU. This agreement recognizes the need for change and ensures our colleagues continue to be treated fairly and with respect as we progress on track with our modernization plans.  
 So to conclude on Slide 7. We started the year overall in line with our expectations with EBITDA growth in Consumer, Enterprise and Openreach. Many leading indicators across the business reflect the positive progress we've made. For example, Consumer's churn levels stayed at near all-time lows as we came out of lockdown and group NPS remains positive. In addition, we now have inflation-linked pricing across around 2/3 of our revenues. And we continue to deliver our transformation and cost savings plan. 
 We are firmly on track to achieve our outlook for this year and we'll gather momentum through the latter half of the year, including some recovery in Global's markets. This places us on a trajectory to deliver EBITDA of at least GBP 7.9 billion and revenue growth in full year '23. And lastly, we're making solid progress against our strategic agenda, which will deliver enduring success for all BT stakeholders.  
 So that concludes my remarks. We've got about 45 minutes, I believe, for Q&A. [Operator Instructions] And with that, I'd like to ask the operator to open up the lines, please. 
Operator: [Operator Instructions] And our first question is coming from Akhil Dattani from JPMorgan. 
Akhil Dattani: I've got a question, just, I guess, less on the results but more on the strategic side of things. I'm sure you've seen this morning, Virgin Media has made an announcement about a full fiber build, where they're talking about overbuilding their cable network with fiber. So I guess, just keen to get your thoughts on, was this something you're expecting? What are your thoughts on the market and competitive impact of that? So it's really that. 
 But if I could ask a really small follow-up on one of the points you made as well, which is you talked about the GBP 1 billion of revenue from the Microsoft contract over 7 years. If there's any comments you can give on phasing and EBITDA and cash flow as well, then obviously that would be great as well. But yes, it's really the Virgin one which is the big question. 
Philip Jansen: Okay. Let me just do the Microsoft -- I can't really give you specifics. What we're saying there is it's a big deal. That's the minimum I'd expect from it. And there are -- it opens up loads of opportunities. So we're just deepening the relationship with Microsoft. You can see we're doing more in cyber. They're doing more in cyber, too. We're bringing that together. We're doing lots of integrated voice activity around Teams. There's more and more people use that product by definition. 
 So it's a really collaborative, deep relationship with Microsoft. And in terms of contribution, it's going to be very, very positive. I expect it -- I hope it's more than that, by the way, but that's the minimum it will be. So I can't give you details on EBITDA or margin, but it's a very positive financial picture. And it's been -- and we've worked on it for a long time, by the way. It's been -- it's complicated and multi-dimensional, which is good, not bad.  
 Look, Akhil, yes, look, obviously, it's a really important news today. Firstly, your question, was I expecting it? Absolutely, by the way. And I have to say it's the right thing to do. It makes sense. It's what I would do. And if you had a choice of HFC DOCSIS versus FTTP and the cost was not too dissimilar, and there is a bit of difference, you have to do FTTP. So I -- firstly, I think it's what I expected. I knew it was going to happen, to be honest, it don't surprise me at all. I guess, is the question what are the implications for us? Is that what you think? 
Akhil Dattani: Yes. 
Philip Jansen: Well, I mean, look, the way I think about it is does it change BT's plans? No, absolutely not. It just endorses exactly what we've been saying, which is FTTP is the winning technology. And the good news is we're going to 25 million by 2026. So I mean, I think the second question is does it change your net plans? And the answer to that is, yes, it should. And I think then the third big one is what are the implications for wholesale? Because I think that's something that could change the dynamics of our industry. And all I'd say on that is we're the incumbent or the market leader. We can never be complacent, and we're absolutely not at BT. But let's be honest, we're going to have almost double the footprint in almost half the time. 
 And we've got decades of experience, one clean network. We've got fantastic service. And the prices we're offering, particularly right now, are very attractive. And we're giving long-term sustainability and visibility of people for the 10 years. We're going to keep investing. We're going to keep innovating. And this stuff is more complicated than people realize. Again, I think you know that. But it's not -- it's more complicated than meets the eye. So remember, we've got 30,000 people on the road building and maintaining the quality of networks. And we announced today, for example, moving to electric vehicles. All these operational changes are massive. They're not easy to do. So I think whatever happens, BT Openreach is going to have millions of FTTP connections from all CPs. No one's going to do an exclusive deal with Virgin, even if they decide to wholesale. 
 So any wholesale change, if they were to happen, would have a significant migration question and technical challenges, right, so -- and therefore, we're going to have those customers. So if I -- the way I sort of think about it, to finish off the answer, is if you accelerate to 2030, Akhil, we're going to have -- we're not going to stop at 25 million, we'll be infilling -- let's say, we're roughly 30 million, they're roughly 15 million, the question is how big is alt nets? And if they're in the 10 million range, I think the market will operate very effectively because it can take two big operators competing like fury, big fiber footprints. It's the question is how much of the extra build that creates irrational behavior? And that's the only thing that I'd be concerned about. 
Akhil Dattani: Can I just ask one super quick follow-up, which is, obviously, as you rightly said, wholesale is the big question. But were they to sign wholesale contracts, do you think there would then be regulatory implications as well? Or do you think that's fully capturing the WFTMR framework? 
Philip Jansen: No, I think there will be questions on regulation as soon as that wholesaling starts, so -- and again, remember, whatever happens -- it's not clear cut, and obviously, it's a question for them. But you have to get a lot of wholesale customers to offset losses that you'd get on your retail side. And so I think that what we've seen today is it's a 15 million footprint, which, I think, quite rightly, they can't afford not to upgrade to a technology that is similar to us. And I think the wholesaling question is a big question. Of course, by definition, it opens up the opportunity, but we'll have to wait and see. 
 And I feel comfortable that with what we're offering, both in terms of the products but also the pricing, I always say this, Akhil, if you look at our prices, if you look at what we're offering people for FTTP today, the retail pricing is actually very competitive. And if you compare a 1-gig price compared to a Virgin retail price, they could be up to 50% more expensive than that. That's a tricky equation to solve if you're going to wholesale because you're going to bring that retail price tumbling down. And we would be in with the regulator, of course, and Virgin know this, we will be talking to the regulator to make sure that there's a level playing field because what many people would argue it's not a level playing field today. 
Operator: [Operator Instructions] Our next question is coming from John Karidis from Numis. 
John Karidis: Given that Akhil sort of blew out of the water the instructions you gave us, I'll just ask two very quick ones. The first one is do you still expect a bubble of insolvencies, in Simon's words, when the scheme runs out at the end of September? And then secondly, you had 1.1 million FTTP lines at the end of the quarter. How many of these were actually used to provide speeds above that achievable by FTTC? So roughly, what proportion of those were used for faster speeds, [ultrafast speeds?] 
Philip Jansen: Yes. John, I'll let Simon -- can answer both of those to give his view on insolvencies. And then we'll give you the rough percentage on the 1.1 million FTTP lines. Simon? 
Simon Lowth: John, thanks for the question. Yes, I mean, the -- we do continue to expect that as business support of various forms is removed, we will see an increase in the rate of insolvencies amongst smaller businesses and more impacted sectors. And John, we continue to hold provisions that we took as we went into COVID against that. I think on the offset, John, actually, we've seen, and I think you all have noted, a pretty high rate of business formation as we've exited from lockdown, seen sort of the economy start to rebound in the U.K. So that will be a counterforce. Exactly how that plays out over the rest of this year, hard to predict. But that's the sort of range of outcomes built into our outlook for the year. Hope that helps, John, just back to you. 
John Karidis: Right. Okay. Could I ask for that proportion, please? 
Philip Jansen: It's about 50%, John. More than 50%, I said in my speech, are ultrafast. 
John Karidis: Forgive me. In your speech, you talked about the additions during the quarter. I was talking about the 1.1 million that you have in aggregate. 
Philip Jansen: Yes. Greater than 50% are ultrafast. 
Simon Lowth: Yes. Sorry, Philip, it's probably worth adding, John, I think you know this. But obviously, some of the initial FTTP build, quite a chunk of it, was in the BDUK, which obviously was replacing lower speed circuits. Obviously, as we ramp up the FTTP beyond the BDUK footprint, a much, much larger proportion, far more than that, majority is going into ultrafast speeds. [indiscernible] 
Operator: And the next question is coming from Polo Tang from UBS. 
Polo Tang: My question is actually on BT Sport. So you currently have a reciprocal content agreement with Sky, where Sky gets access to BT Sport and you get access to NOW TV and Sky Sports. But if you bring in a partner for BT Sport or sell BT Sport, does the agreement still stand? And how important is content in terms of supporting your broadband business? And are you making a return on BT Sport currently? And maybe just a super quick follow-up in terms of is there any update in terms of the appointment of a new Chairman? 
Philip Jansen: Sure, Polo. Firstly, on the last one, no update. I mean, as soon as we're ready, of course, we'll make an announcement. But there is a process being led by our senior independent director. And as soon as that concludes, clearly, we're going to announce it immediately, but there's no update on that one. On the -- it's a great question, Polo. You're right, we have a very strong partnership with Sky across multiple levels. Obviously, clearly, they're a big supplier or customer of Openreach. But also from the BT Sport point of view, there are multiple angles here, and including they sort of sell our BT Sport advertising, right? So it's a multidimensional relationship. 
 So as we look at what we might do with BT Sport, which talks to you of how important content is and how is the business doing. As we look at what we're going to do next as a result of the strategic review, the Sky relationship is fundamental for the reasons you say. Because there's reciprocity, which, in any future, we need to maintain the strong partnership we've got with them today, where we access their stuff and they access ours. Any form of agreement has to make sure that the Sky dynamic is as good as if not improved. And the same would be true of other providers or other customers of BT Sport. So it's a very important question. And that's why we're taking our time to work through all the details to make sure whatever we do on BT Sport is in the best interest of all stakeholders and we've taken our time to look at all the options.  
 And just a final point on how important, it's doing -- it's a great product doing really well. As I've always said to you, we don't see ourselves piling more and more money into the rights within BT Sport. We've got some fantastic rights. It works well now. It's growing. We see some growth prospects in the future. Some of the partners we're talking about have ideas about how they could help fuel that growth. And that's what we're looking at. 
Operator: And the next question is coming from Andrew Lee from Goldman Sachs. 
Andrew Lee: I had a question, just following up on your comments, Philip, on the technical challenges related to taking up VMED's fiber from a wholesale customer perspective. So just apart from your ability to offer a more nationwide network coverage for wholesale customers and apart from pricing, what are the other key technical differences that a wholesale customer will have to take into account when choosing between your fiber and VMED's fiber? And just to -- as a quick follow-up, just any update on wholesale negotiations following that wholesale FTTP offer prices you set out a month ago? Is there any sign of anyone taking an early sign-up there? 
Philip Jansen: Yes, sure. Again, really important questions. I mean, I think the answer to that first question is multiple levels again. I mean, the whole engineering in itself is a significant challenge, right? So there's a technical engineering challenge to whenever you're going into mass upgrades, builds -- and these are challenging things, right? So from an engineering point of view, you've actually got a -- to our point, we're building 4 million a year. I think Virgin are going to be trying an upgrade, I don't know, probably 0.5 million a year, whatever number is. [indiscernible] trying to do 2 million upgrades a year, I guess, is their run rate. So that itself is not insignificant to get that done. 
 But the technologies have to work. And you need the IT platforms to all integrate. And remember, it's a live system, right? So it needs to be maintained. It needs to be monitored. And it needs to deliver consistent service. And with all technologies, things happen. So there's this technology, IT platform integration, customer service all wrapped in together. So when I say there's significant challenges in building, connecting and managing a network and delivering great systems and service work for customers, it's not straightforward. 
 So I think, remember, setting up a system for wholesale isn't that easy either, right? And you can see what's happened in some of the alternative programs or alternative providers who have been working for many, many years. So that's the first one. On the wholesale, I think we've had -- not to be complacent, but we've been in discussion with our CPs for a long period of time. I'm very encouraged by the conversations that Clive and his team [have keeping up there.] I think we're making good progress and that response has been very, very good. 
Operator: And our next question is coming from Sam McHugh from Exane. 
Samuel McHugh: Just a quick question about debt for Simon. So I think it was -- net debt came in about GBP 1 billion higher than consensus, up to GBP 900 million quarter-on-quarter, broadly flat free cash flow, a Spectrum refund of GBP 220 million or something. So you had about GBP 1.1 billion below the line cash-out. Now I think some of it is Spectrum. 
 I wonder if you could -- I'm sorry, not Spectrum, pension payments. I wonder if you could talk about the rest. And I guess, how much of it is specific items? Because you talked about GBP 900 million of specific items for your 3-year restructuring plan, having already spent GBP 450 million. So I wonder whether we should now be factoring in slightly higher restructuring charges versus what we were expecting before. 
Philip Jansen: So Simon? 
Simon Lowth: Yes. No, Sam, thanks for the question. So the bridge really, as you say, normalized cash flow is sort of broadly awash. So the increase in debt in Q1, big components were the payments into the pension scheme, which went in, in the first quarter. That's a combination of the recovery plan and the ABS, and that's just shy of GBP 600 million. We did also undertake some share repurchase, as we always do, to cover employee share schemes. Plus, yes, specific items also amounted to just under GBP 300 million. And that's a combination of some sort of investment activity but also some restructuring. 
 That was something like sort of GBP 90-or-so million. But now, we're firmly on track with the restructuring plan. We've not changed our view on the total cost at this stage. So those are the outflows, pension, restructuring, investment activity and share repurchase. And that was offset, it brings us back to the GBP 800 million up by, as you say, the spectrum refund. I mean, that's a Q1 movement. Obviously, we don't expect that sort of movement in Q2 through the year, expect to see that sort of change in net debt. I hope that helps, Sam. 
Operator: And next question is coming from Robert Grindle from Deutsche Bank. 
Robert Grindle: I'd like to ask about the physical line losses in Q1, which were running about 8x last year's quarterly run rate level. What percentage of these are to the alt nets, please? And I think some of the line losses, voice lines associated with FTTP, which follow up when customers move to voice over IP, how many more of these dual lines are there? Presumably, you're not charging twice for some of these, at least to BT Retail. And what do you think the backlog of voice lines is for customers who have already moved on to the alt nets, who might just move on to voice over IP there and leave you guys? 
Philip Jansen: Robert, I mean, Simon, do you want to -- I mean, you can go over the low line loss in quarter 1 in Openreach. Do you want to take this one? 
Simon Lowth: Yes. Okay. So yes, the line losses for this quarter, we did see a pickup, sort of physical line losses declined by about 159,000. And that is rather higher than we have seen in recent quarters. But if you'd strip out, the underlying line loss was actually about half of this.  Much, much closer actually to the last quarter's -- first quarter loss. And that reduction was due to the fact that BT downstream units have been removing the WLR lines that we were using temporarily to support voice on some of our FTTP connections. 
 Clearly, that reduction in line isn't really sort of economically impacting for the group, so about half of the line losses you saw due to that. Going forward, yes, we do continue to see some continued underlying losses as alt nets expand their footprint. But I think as Philip has reinforced, we're rolling out FTTP at speed. We know we've delivered a very strong proposition to customers. We'll be defending our line losses strongly --- our line base very strongly. 
Philip Jansen: Yes. And Robert, just to add to that. Talking to Clive, without giving the specifics, we're not losing loads of lines to alt nets. 
Operator: The next question is coming from Nick Lyall from Societe Generale. 
Nick Lyall: Just one, please. Firstly, on the fiber numbers in Openreach, please, Philip. Was there -- there was no acceleration this quarter. I sort of expected to see Clive start to put his foot down a little bit on the rollout. So was there anything -- because the backlog was being clearly interfered with the... 
Philip Jansen: Nick, well noticed. Yes, look, the 544,000, good number. But you're right, we didn't accelerate much. And actually again, you are right. It's down to a number of factors. Nothing to worry about, but we did have a big backlog of various things, particularly around provisioning. And therefore, Clive has put a decent quarter in, but I see significant ramping coming up at some stage. And again, the other thing I'd say is it's a bigger proportion in this quarter were rural lines, which are a little tougher to deliver. And so it's a mixture of those things is the backlog plus the rural build. But don't worry, we'll be accelerating. 
Simon Lowth: Might be worth, I mean, adding, Philip, that quite a lot of the work in the quarter is putting in spine networks in some of the new areas. So we're doing a lot of builds that then allows us to then drop the final builds much, much faster. So there's quite a lot of network architect build going on, which is also therefore not showing up in the prem's number for this quarter, probably a point to make for that. 
Operator: And the next question is coming from Maurice Patrick from Barclays. 
Maurice Patrick: Maurice here. Just ask the one question, please. If I can ask a bit about competitive intensity in the U.K. market, please, on the retail side. When looking at your reported trends, I mean, broadband, it has looked pretty solid 50,000-odd. The ARPU is improving but still fairly negative. You've called out the impact of -- you called out Carphone Warehouse having an impact. But can you help us just build some of those bridges around here? What was the impact of the changes of accounting around Carphone Warehouse on service revenues? How much of the ARPU decline is sort of loyalty-related? That would be super helpful. 
Philip Jansen: Sure. Maurice, let me give you a little overview on competitive intensity. And then maybe Simon can pick up some of the accounting, Carphone Warehouse, ARPU trends and what that actually means. I think, look, the market continues to be very competitive. Of course, the U.K. market is at -- is one like that. Having said that, I think there's no question that the consumer values connectivity more than they did 18 months ago. And we can see that in everything. So that's encouraging. So people are taking faster speeds and they're paying more. And as I said in my sort of script, our churn is absolutely excellent. 
 So what we've got here is we've got people valuing what we do. We're launching more converged products, for example. And we're bundling in more and more things together as we possibly can. You know the numbers on Halo. We've got customer satisfaction rising. And our pricing is about to rise as everybody knows, right? We're going CPI+ 3.9% on a base that is very stable with very low churn and high satisfaction. So I think we're encouraged by that. So of course, there are a few other bits in there. So we asked in addressing the fairness and loyalty gap, which drives a bit of the ARPU pressure. But that's us correcting the base to make sure we've got a really strong foundation to grow revenue in the future. 
 And so we still have a bit of that to do. But the base is growing, the churn is low, satisfaction is high. And it's a competitive market. So actually, we -- in the Consumer division, the sort of underlying indicators are really encouraging. Again, no complacency because you're right, there are certain parts where it's a bit brutal, right? And the SIM-only trend continues and the mobile market is challenging, right? Inevitably, that's very competitive. So Simon, if you want to say anything else on Carphone or ARPU dynamics or on the accounting to help Maurice, please go ahead. 
Simon Lowth: Yes, sure. I mean, I think in a nutshell, broadband base is stabilizing, very low churn. And we're holding up our share in a smaller acquisition market. There are some upward pressures from ARPU. Obviously, CPI indexation is flowing through to the first wave of the contract base and we've also got upgrades. There's lots of people moving to FTTP. But that's been offset by the continued implementation of the fairness agenda, which we think puts us in a very strong competitive position but in this quarter had a net pressure on ARPU, but as you can see, a significantly reducing net downward pressure. 
 If you strip -- move to Mobile, again base stable. It's a very low churn again, holding up our share in a reduced acquisition market. ARPU, few trends, one, continuation towards SIMO. We haven't seen anything like the sort of recovery back to pre-COVID levels and out of bundle and roaming and that's weighing on ARPU. And then in addition to that, the move to direct obviously has an impact on service revenue, so in an indirect channel, as you know, gets all flow through service revenue in the direct capital handset through equipment. So that was a bit of a pressure on service ARPU. So those are the factors, hope that helps. 
Philip Jansen: Sorry, can I just add one more thing, Maurice? It's a really important question. I think we sort of said that clearly there are challenges in the global market and the demand is just not there. But your point about competition is the key thing we're driving, and the reason we feel confident about our growth profile is, across divisions, we're getting more competitive. And you can see it in all the underlying indicators actually, yes? And that's exactly what we're driving, both in Consumer and Enterprise and Openreach, is to make sure we're fit to compete in a market which is, as you say, pretty intense. But we are the market leader, and we've got good stuff going out the door that people are appreciating. And we're going to do more of it. 
Operator: And our next question is coming from Jakob Bluestone from Crédit Suisse. 
Jakob Bluestone: I will keep it to one question as well. Just trying to understand a little bit more the weakness within Global Services. I mean, your financial services revenues fell by about GBP 50 million Q-on-Q. And it basically looks like that fully dropped through to EBITDA, which is also down by about GBP 50 million. So can you just help us understand a little bit more what happened in the quarter specifically? What was it that was so different from 3 months ago and then just how that sort of ties into the confidence you have in the turnaround in the second half? 
Philip Jansen: Okay. Jakob, let me make a comment about the confidence we have in the second half and then I'll let Simon sort of try and answer your question. I mean, the truth of it is no knows exactly when the bounce-back is going to occur. But I think we can see, for example, in the public sector, both in the U.K. and elsewhere, that pipeline is actually encouraging. So for example, there is plenty of stuff that our customers in Enterprise segment will need in the future that we can deliver for them. 
 At the moment, they're just not buying, right? And they're deferring and delaying and reconsidering contracts. But we're not losing business, and we're not -- our market share is stable in terms of the -- and win rate. There's nothing underlying that says, actually, the business is actually -- it's fundamentally underperforming versus market. But the market is not there. So what we expect is we do expect some gradual recovery at some stage. We just don't know when that's going to happen. What we've taken the decision is not to run around with our hair on fire, slashing everything. 
 We have taken a very considered approach to cost, taking out anything that's not necessary. But we are ready to have that ability to respond to when the customers do show their demand again. And I think that's the key thing. So what we've done, and I've personally talked to a lots of customers, and Bas the CEO of Global is out there with customer all the time, reassuring them that we're here for them when they're ready to decide to do things. And you can just think about, yes, the banks. But think of IAG, a big customer of ours, British Airways owner, it's not the best time for them to think through, we're going to commit to a load of -- very essential, by the way, they will have to do a significant amount of IT network connectivity upgrades over the next few years. 
 And we're obviously -- they're a big customer of ours. So that's an example and many of those that are just deferring things. So we're hopeful, but we can't call it exactly because obviously the global pandemic is hitting different countries in different ways and different companies in different ways. And some of the cost pressures you'll see from Unilever, another huge customer of ours, Reckitt, you'll know, these guys are having their own pressures to deal with. So that's what's actually happening in the marketplace, which is why we're not overly worried today. But we need to see the bounce-back. Simon, do you want to talk about the specifics in the quarter? 
Simon Lowth: Yes. I mean, I'd just add a very brief point. I mean, revenue was down GBP 200 million. However, if you strip out the impact of divestments, which is -- and FX, then the underlying movement was about GBP 100 million. And that's split roughly -- 15% of that, so about GBP 15 million or so, was due to an uptick in volume activity, things like conferencing in Q1 last year as our customers sort of went into lockdown. And then on the flip side of that, in Q1 this year, this is the remaining sort of 85% of the GBP 100 million or so, we've just seen less business activity amongst our major customers, as Philip intimated. And that means that we're getting a lower level of project-related spend with customers. A bit exacerbated by customers not in offices, therefore, not access to come in, a little bit of impact from chipset shortages on some kits. So those are the drivers. It's predominantly driven by the pandemic situation. 
 And you asked about the EBITDA impact. The project-related activity tends to be relatively higher margin. And that's why it's flowing through in Q1. As we look ahead to this year, yes, we expect to see some recovery into the second half. That will -- we expect to see sort of renewed project and volume activity but also customers coming back and recontracting where our win rate remains good. And obviously, we'll be managing the cost base to maintain margins in Global, given the great work they've already done over recent years to improve margin. Hope that helps. 
Operator: And the next question is coming from Carl Murdock-Smith from Berenberg. 
Carl Murdock-Smith: I'll be well-behaved and ask one as well. To follow up to Maurice's question, but in terms of the mix within Consumer but less so about the main lines of fixed and mobile and more on the kind of other lines of equipment and other. Other has bounced back really hard. Obviously, the year-on-year comp is impacted by BT Sport. And I know a lot of the BT Sport revenues flow through that line. I think it's also impacted by the revenues associated to the fact that you're now capitalizing set-top box and routers. 
 So the revenues from those is coming in through that line as well. So you've actually bounced back to above where you were pre pandemic. So the question is basically, going forward, what's the outlook like for the other line in Consumer and equipment? Because those have basically offset the weakness in the two main lines. And can we expect further beats and growth in those lines? Or given the set-top box in a kind of capitalization impact is now fully come in or has it fully come in, should we expect that to kind of stabilize more around the current levels? 
Philip Jansen: Okay. Simon, do you want to give Carl the answer to that? 
Simon Lowth: So firstly, on -- on equipment, yes, we've seen some good performance on equipment. And this is, of course, in part reflects the easing of lockdown and the handset sales. And of course, that's somewhat further amplified by a change in channel mix as we've gone direct. On the other, you are right, it includes -- probably two big contributors being the commercial BT Sport that's part of our revenue and also advertising through that channel. And in addition to that, you're right, essentially lease income on kits associated with our connectivity products. So that's what's in there. 
 The fact that, that's growing is a function of underlying growth in demand through our commercial channels for sport and obviously through the kit associated with connectivity. As we look forward, we would expect to see continued momentum there in the back half of the year as we continue to see economic recovery. But the core here, Carl, is that the performance in our Consumer business, it's driven by great propositions for customers and the converged connectivity we bring. Some of that gets accounted through the other line. Hope that helps, Carl. 
Operator: And your next question is coming from David Wright from Bank of America. 
David Wright: Obviously, some crazy day for results. Yes, my question is just pursuing just Global Services a little. You're obviously looking for some H2 pickup. What I'm trying to understand is to what extent is guidance perhaps exposed to this? If the H2 doesn't pick up, is it a business where you can hold back a little bit on the marketing or even ramp up the cost-cutting during a period of lower activity to just give you that a little bit of buffer in the guidance? 
 Or is this a genuine kind of make a call at the first half results that it's not looking better and you might have to sort of tweak towards the lower end? Is it that kind of materially -- materiality we're looking at? Or I think you said, Philip, you did stay firmly on track, so maybe I'm just wrong on this. 
Philip Jansen: Yes. No, David. Look, it's a good question. Of course, there is a level of uncertainty by definition in terms of when is that bounce back going to happen. And I think everybody who works in the sector and dealing with these kind of global customers -- we've obviously talked to a lot of different people and monitor it. So whether it's the AT&Ts or Verizons or OBS, I mean, anybody who's in the sector, we all see the same sort of picture. So look, at some stage, that recovery is going to happen. I guess, the way I think about it is, if you look at our overall guidance, I think we're saying we're going to be broadly flat, yes. 
 And that's up a little bit, down a little bit, who knows, right, on revenue. Broadly flat, I'm very comfortable with it. And even if Global still struggles for the remainder the year, we can still deliver that. But the key thing is, on the EBITDA point, it's no problem for all the obvious reasons that you can calculate yourself. Plus more importantly, when I look at it for the next year, given all our plans and the leading indicators that I've referred to, Global is a relatively small part of what we do. And you can see it on that slide we showed you, if you actually stared at it and look at the leading indicators underneath and you get some growth back in Enterprise, some of the -- group looks very different. 
 So no, we're -- I'm not concerned about our guidance at all, yes. I want Global to come back on stream as quickly as possible. But what we don't want to do is do something precipitous. That means we can't benefit from the -- the bounce-back when the lockdowns and everything else finishes. And that's what -- that's the balance we're trying to hold. But the good news is we can afford to do that, and that's what we're doing. I mean, Simon, do you want to add anything to that? 
Simon Lowth: Yes, I think you've covered it, Philip. I mentioned -- yes. 
Philip Jansen: Is that okay, David? 
David Wright: Super, Philip. 
Operator: And the next question is coming from James Ratzer from New Street. 
James Ratzer: I suppose no one's asked a question yet about Patrick Drahi, so I might try that, although I don't know how much you can say on this, but would just be interested to get any thoughts you've had on any kind of recent discussions with him as your largest shareholder or any discussions you're aware of that you might have been having with government that has been rumored in the press. And whether you were kind of slightly surprised that he didn't ask for a Board seat at the AGM, given he has a larger shareholding than Deutsche Telekom. And are you aware of any intentions he might have to ask for a Board seat in the future? 
Philip Jansen: Sure. Yes. No, James, of course, an important topic. I mean, look, so not surprised that he didn't ask for a Board seat, I didn't expect that. Deutsche Telekom's Board seat, by the way, is not to do with the percentage share, it's more about the combination of EE and BT, as you know, going back almost 5 years now, I guess. So it's a different type of arrangement. So the topic has not been raised at all, not been discussed. And all I'd say is, as I sort of repeat a bit what I said before, we've now got two shareholders, both of whom understand industry, at 12%-ish. 
 And I'm out a lot talking to shareholders. And obviously, having a block of 2 12% each who understand industry and very importantly are fully supportive of the plan. And that's the key point for me is -- and the questions I've been asking all my shareholders have been going out, when I went out last time, I'll do it again this time, is which of the elements of the strategy are you uncomfortable with? And actually, we've just talked about it today. We are building the best fixed network in the land, the best 5G network in the land. 
 And so when you put those two together and do some of the things that I sort of inferred in my script about how you create a converged super network that can give capacity and capabilities for a whole host of new things for enterprises and for consumers and for homes and we're dealing with, thinking about edge, thinking about private networks for customers, we're thinking about all the services that might happen in the future. But the beauty is I've got, I think, all shareholders supporting direction of travel. No one is saying, "Well, I'm not so sure, should you be doing these things?" 
 The question is how is the market going to play out? And therefore -- and I think actually, we've landed in a pretty good place. If you have all those questions that we used to have, there's someone like Patrick and indeed Deutsche Telekom and other shareholders are really pleased with the resolution of regulation where we now can make a fair return. And we're investing such high levels in our network, both fixed and mobile. Some of the questions around pension and sports rights, that have all gone -- the CWU now, that's also sorted out as well. So it's now just execute well. 
 And actually, I go back to the original point, which is what's going to happen in the fixed infrastructure build market? And we've now got two players announcing their plans. I think that's good. It's a land grab, right? And in that land grab, all our shareholders are very supportive of us building it and filling up that network as quickly as possible. And that's what we're focused on doing and building around it a converged network performance, which is unbeatable. And we will definitely do that. The question is what can we hook on the top of it to make the kind of revenue growth that we're looking for? 
Operator: And our next question is coming from Jerry Dellis from Jefferies. 
Jeremy Dellis: Question is really to do with the Virgin announcement. You said it was something that you anticipated. So I wondered what sort of discussions you've had with Ofcom in preparation for an announcement of this form. And specifically, what would represent an acceptable regulatory outcome, an acceptable framework for regulating Virgin's wholesale business if they decide to go in that direction? 
Philip Jansen: Yes. I mean, look, again there are no advanced discussions on any of these topics in terms of the wholesaling activity. Because as you'd anticipate, we would be talking to all industry players around the ability to buy different services and different people. And that includes Virgin, for example, right? So I think nothing is happening on that front right now. And again, I think, if indeed, there is a move that changes the dynamics in the market significantly, then we will make sure that BT is operating on an absolute level playing field. And I think that is something which we're very confident we can articulate to people if it ever happens. 
Jeremy Dellis: Could I just understand what the downside risk is if Ofcom isn't forthcoming with a decision or if they take their time? Because I suppose Virgin is in this position, where it has a very dominant market share in the legacy cable footprint and I suppose that creates some incentive for them to price wholesale relatively high. So I just wonder what the protection from the regulator could look like. 
Philip Jansen: Well, honestly, I'm not so sure we need protection. I mean, again if you just stand back, you say -- the truth of it is, this move, the reason it didn't surprise us is it's what anyone would do. And it's a defensive move to a certain degree from the #2 player to keep up with the #1 player. And that makes total sense to me. So we're going to -- I guess, the key thing is, as they build out and we build out, there's going to be a load of competition between the two organizations, which I think is absolutely what the company or the country needs. It needs two big players going head-to-head on delivering great things for customers. So I'm not so sure we'd need any protection. 
 What you're -- I think maybe you're driving at is, which I think you're right, is nothing is going to move quickly here. And what I was trying to say when I answered the first question at the very beginning is any move on wholesale will leave significant millions of customers on Openreach platform, whatever happens. Because at best, Virgin can only offer 15 million by 2028. So there's a whole migration and mixture of different platforms and technologies and customers. And therefore, my argument would be if you're a big CP, they understand the complexities involved in the technology of delivering, as we described in one of the other questions, and platforms and interfaces. It's not that straightforward. 
 Why -- if you're getting a great product at great prices and great service from the major player, who is delivering everything you want at very attractive pricing, allowing you to make a good return, if Virgin decide to wholesale, the only way it would make sense is if they really, really had aggressive low rates. Why would they do that? So in order to move significant amounts of volume late in the day, it's going to have to be really, really financially attractive. When that happens, you're going to decimate your retail base. So I think any -- that's why any decision around wholesaling, I think, is very delicate and needs to be carefully considered. And I'm sure that's what they will do. And we'll participate in that process through the challenge you'd expect. And I think, therefore, there's an open and transparent dialogue about it. 
Operator: And our next question is coming from Nick Delfas from Redburn. 
Mandeep Singh: It's actually Mandeep from Redburn. Nick's on an alternative call, so I'm subbing for him. So apologies for that. Okay. So look, I had two quick questions hopefully. First, I just want a little bit more color, please, on the mobile, not declines, not just on the SIM-only but on the sort of move to direct and separating handsets and revenue. Can you maybe help us quantify, minus, say, some easy COVID comps? So kind of just help us understand a little bit more about the -- how the move to direct and IFRS 15 is maybe impacting the numbers. That's the first question. 
 The second question is on the 5 million JV potentially off-balance sheet. Maybe some color as to why it's taking so long. Why do we need to wait until the November results? Presumably, there's a plethora of infrastructure money dying to invest in such a venture. So why is it taking so long? And is it possible that Mr. Drahi could play a role in that vehicle? 
Philip Jansen: Yes, sure. Shall I do the second question first and then Simon can take the Mobile and the move to direct and IFRS 15, et cetera, et cetera? There's quite a lot of moving parts in that. So look, I think, why is it taking so long? I don't see it taking too long. I'm just -- we're taking our time. These things -- we don't need to rush these things. The beauty here, Mandeep, is, remember, I say we don't need to do this. And again, if I'm really honest, when we first thought about it, we thought we might need to do it. But as you all know, based on our results presentation in May, we sort of got a GBP 2 billion cash upside, if you like, from various tax changes, super deduction plus the tax shield we got through the pension changes that you know about. So the great news is we don't need to do it if we don't want to do it or we shouldn't do it. 
 So we are taking our time to make sure that all options are evaluated, number one. Number two, the criteria we're looking at, we can be a bit firmer on those in terms of our negotiations and say, "Look, we're only going to consider it if it really is very, very attractive to us." Remember, there are some costs [in commerce] or implications of doing it because you've got to set up a separate entity. And as per our earlier conversation, I'm most focused on building that 25 million as is Clive by December 26 for the reasons that are blindingly obvious and underlined by the announcement today. So I think that's my most important thing. 
 The other thing I'll say just to help you a little bit is we're in no rush. We'll take about as long as we need because there are certain criteria that would be very interesting to me. And for example, should we have an industry partner, and by that, I don't mean a Drahi or anything like that, I mean, somebody in the U.K. If there was a way of collaborating to build some premises that were harder to reach or would not otherwise be reached through our current plans, that would be very encouraging. So I'm looking at are there any industry players who would like to participate in that, too. And that, I think, is one of the things would make it much more compelling if we could find a way of doing that. Does that make sense, Mandeep? 
Mandeep Singh: Yes, it does. 
Philip Jansen: So I hope you've got the message on the last point. So we're not rushing, we'll take our time. And we'll only do it if it's a blockbuster. And it's quite complicated to achieve the things that I would like to do, but we'll see. Simon, do you want to talk about the Mobile and move to direct and IFRS 15 and the sort of Mobile dynamics? 
Simon Lowth: Yes. I mean, the first point is that equipment revenues are up. The primary driver of that is that the volumes are up relative to the first quarter last year. Because as we've come out of lockdown, we are seeing more activity and that's driving more volume and that's driving the revenues up. Although if you look at Q1 versus Q4, what you'll see is there's not a huge growth versus the prior quarter. And that's because, as Philip mentioned in his remarks, footfall in our retail stores, which is a primary handset channel, remains somewhat lower than pre COVID. So that's the primary driver. 
 Yes, there has been some impact from the move from indirect through into wholly direct. Because under accounting, IFRS 15 accounting, we're booking the direct into a service revenue and equipment revenue, whereas through the indirect, it will go through the service. So that's the primary difference. If you want a briefing on that, go to our website, we explain exactly the accounting differential between an indirect and a direct when we transitioned to IFRS 15 that allowed to calculate it. But it's not the main impact in the quarter. Hope that helps. 
Philip Jansen: Thanks, Mandeep. I think we've covered all our questions, I believe? Are there any left? 
Operator: Right now, there are no more questions. 
Philip Jansen: Great. Well, listen, thank you, everybody, for dialing in as ever and spending your time with us. I know as you -- some of you say, I appreciate it's a really busy day with lots going on. And thanks for your interest in BT, and look forward to seeing you again soon. 
Operator: Thank you, everyone. That marks the end of your webinar. Thank you for joining, and have a nice day.